Operator: Good day, ladies and gentlemen and welcome to the Quanterix Corporation Second Quarter 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question and answer session and instructions will be given at that time. [Operator instructions] As a reminder this conference is being recorded.  I would now like to turn the conference over to Amol Chaubal, CFO of Quanterix. You may begin.
Amol Chaubal : Thank you, Tiffany, and good morning everyone and thanks for joining us today. With me today on the call is Kevin Hrusovsky, our CEO, president, and chairman.  Before we begin, I would like to remind you about few things. Today's call will contain forward-looking statements that are based on management's beliefs and assumptions and on information available as of the date of this call. We may not actually achieve the plans, intentions or expectations disclosed in our forward-looking statements. Forward-looking statements involve known and unknown risks, uncertainties, assumptions, and other factors that may cause our actual results, performance or achievements to be materially different from any future results, performance or achievements expressed or implied by the forward-looking statements. These risks and uncertainties that we face are described in our most recent filing with the Securities and Exchange Commission.  With that, I will turn the call over to Kevin Hrusovsky, our CEO, President and Chairman.
Kevin Hrusovsky : Thanks a lot, Amol. Today we are going to go through the agenda that's up on our website. Basically, I'll describe the strategic and financial progress that we are making, and that's occurring on just about every front.  In addition, I'll provide some very specific commentary regarding the Q2 results and then how that stacks up versus the goals we've set for the year, but I'd like to end my remarks just describing the real important progress that's being made around transforming neurology and the way our technologies are interacting with healthcare.  Let me start with just the highlights for the quarter. You had 57% revenue growth, which, for the first half, that's 60%. As you can see on the right-hand side of the graph, we've continued ever since going public, where we have a lot of investors supporting us and helping us in our business development efforts. Many of them own pharma biotech companies that are trying to get their drugs approved and that plays right into what it is our technologies can achieve. And so, having owners in our company that also own pharma/biotech has been very productive in the overall business development initiatives. We also are really excited about the progress that we are making on gross margins and this does not include any of the Uman benefit.  But once again, we've delivered a very strong 500 basis point improvement in our gross margins and actually for the first half, it's nearly 600 basis points and it is 580. We've continued to scale our executive team. We brought in Amol, as well as John Fry as General Counsel, Amol as our CFO. And we've recently brought in three key commercial leaders, two of which I've actually had a lot of experience working with in the past.  We acquired Uman very productively and were able to use about a third of the consideration that we paid in stock, which was a real nice benefit for our cash preservation. We also did announce that we were launching HD-X a little early, ahead of schedule, as well as the SP-X. Both of them were launched and we are feeling really productive around their launches and it's an important part of our continued growth as a company. We also just moved into a very cost-efficient global headquarters, almost 100,000 square foot. We were able to combine all the personnel from our Uman acquisition of about 18 months ago with those from the Quanterix team. We are all together now in this center for biomarker disruption and innovation. So pretty excited about that.  We also had a really strong showing at the recent Alzheimer Conference. We actually ran a dinner session where we had four top thought leaders. I gave a summary of where we are going as a company and then we had a panel discussion that I moderated that was standing-room only and there is a buzz at most of these conferences now in neurology around the possibility of using biomarkers to helping the drug approval, and even use it for potentially, rescue.  The next big one is going to be in Stockholm. It's ECTRIMS coming up and we'll talk a bit more about that in a moment. And we've also just continued to have a lot of third-party peer-reviewed publications, which continues to be an important part of our advance.  And this next slide illustrates a little bit more breakdown of the revenue and you'll hear more of this from Amol. But that top-line overall growth is a very strong trajectory that's continuing and we would say that, when you look at the right-hand side, what's most notable here is that, our consumable growth once again was above that 40% level that we expect will be the overall average level of growth.  And this is, I think, the fourth quarter – third or fourth quarter in a row where we've really been driving that very strong consumer growth, increased utilization of our instruments, as well as a new growth catalyst of placing instruments.  As you can see, we've got instrument growth again this quarter. I think that's the third consecutive or maybe potentially fourth consecutive quarter of growth after having three years of basically flat growth. We were placing instruments at a very regulated pace and since launching these newer platforms, we are now starting to see really nice growth catalysts in our instrument volume, which later on translates into consumables, which is a good forward-leading indicator.  We also saw the recovery of our lab services growth. We've always been growing there. But we really are trying to stay at this 40% level as well and you can see that, we had a really strong quarter. That's also a leading indicator and parameter because many of those that use our lab services do studies and they ultimately then buy our technology.  So we've made that a very profitable, promotional component of our business. We are making great margins on our lab services. But it's yielding a lot of downstream instrument placements. And it's also where we are exploring a lot of the opportunities for companion diagnostics as we continue to evolve our pharma services offering looking for ways to make drug approvals and then, ultimately monitoring patient performance opposite those drugs.  We actually feel our lab services business is where a lot of that strategically is going to play out. And then at the bottom, I think it is interesting to note that for the first half now, consumables represents almost half of our company and that has got the biggest gross margin opportunity as we continue to evolve and you can see that our growth of consumables in the first half has been nearly triple-digit. So, just to remind everyone, the overall path that we have as a company is, is that today, when you look at the healthcare industry to diagnose cancer and neurodegeneration, particularly, they don't discover it until there are symptoms and by the time you have symptoms you are in very late-stage in the disease and these are very lethal diseases.  A lot of our high-level premise is on the right-hand side of being able to see disease much earlier, much less invasively by using the exquisite sensitivity that we have in our technologies and we're going to now further explore that on this next slide. It's a slide we've used in the past. But the Y axis just shows you the invasiveness.  As you reduce invasiveness from biopsies and cerebral spinal taps, I think that these cerebral spinal taps are very painful and they are very expensive and invasive and you actually can create infections and so, most patients will never even allow them to take - even when sick, a spinal tap.  So, to see head health today in the CSF, the Cerebral Spinal Fluid it’s a very invasive procedure and the red area in that box on the left is what today's technologies can see, so that's why most of the diagnostics are in highly invasive approaches. Now at the bottom you can see blood and saliva and then the disease on the X axis, when do you detect it?  Again, the red area is today's detection capabilities. It's long after symptoms that you are picking up cancers and neurodegeneration. The blue boxes is what our sensitivity does to this slide and it allows us to start moving cancer and neuro into a much better earlier diagnostics with less invasiveness and cost. And that is we believe a game-changer for the longer-term value creation of this company. So the next slide is a systematic roadmap of what we've been deploying. We actually moved out of diagnostics about four years ago when I joined, four-and-a-half years ago and said let's redeploy and research where there is no regulatory reimbursement risk. Let's establish a lot of publications and third-party peer-reviewed publication and validation for the technology in these research markets.  And when we started, the research market was around $1 billion and we actually believe that this research market can continue to evolve into much higher numbers as we keep opening up new biomarkers that couldn't be seen before, particularly in blood. But we ultimately do want to return to diagnostics and you can see that that's about a 5 to 10 x value creation opportunity by moving into diagnostics.  And on the right-hand side, we are starting with neurology and research and in research, we've got both products and we've got these services - pharma services and then, the second bubble is where we just launched into oncology.  You can see oncology, the grey area is about three-times the size of the blue area, and we actually think we have a best-in-class way now with multiplexing through the acquisition of Aushon to get at great oncology research, particularly for immunotherapies, where it's very important to be able to know early on whether a therapy is going to either work or kill the patient. So you can decide what measure should be taken. And then, on the total right, you can see the largest bubble is the diagnostic and the blue area there is where we hope to disrupt first in this diagnostic area, which is in neurology and that's where a lot of the acquisition of Nf-L plays into it.  This next slide just shows you the ways we are breaking down and stratifying our growth. So you can see it for the first half. Most of our growth – most of our company right now is in North America. But we can see we are growing very nicely in Europe and Asia and we are building out those estates.  From a customer-base standpoint, we're 60% pharma and then we are lesser academia. But we've been working hard with the new product placements to increase the growth in academia and you can see we are having good progress there. And then finally you can see that we are now 97% in neurology and oncology and you can see the beginnings of this fight for oncology, which is the next wave of our opportunity. This next slide, Slide 10, is really a metric. It's for all of you out there that really understand how to drive businesses from leading indicators.  We want to showcase that we've really spent a lot of time. We are the lead sponsor and I am the founder of a third-party nonprofit called Powering Precision Health, where we try to inspire scientists to do third-party studies to validate the technology.  You can see now that we are close to 600 third-party peer-reviewed publications on the left-hand side, and you can see the domination of neurology and oncology. And then, the second category are the biomarkers that are being deployed inside of our technology. Many times we offer a home brew kit where customers can actually use whatever antibody pairs they want to source and look at whatever protein they want in a home brew framework. We still collect a lot of money and have good profitability on home brew testing and it's a big piece of what a pipeline of future markers are. So Nf-L, three years ago, was a home brew over in Europe and it now represents 20% of the value of our company. So we are really excited about the 20% of the revenue of our company and we are really excited about the prospects of these biomarkers continuing to increase with the publications.  And then, you move into the accelerator, which is our services business and you can see that we have continued to grow that and the red line represents the number of Phase 1, 2, 3 drug trials. And you can see we continue to ramp that up now that we had the acquisition of Aushon and it gave us the CLIA lab. And then the instruments placements; you can see that we were pretty flat for many years and then all of a sudden we started to see it spiking up. In 2018 and 2019 now, we've seen some real nice growth. And then on the right side you can see this consumable build out by quarter and it just continues to ramp very nicely and you can see the growth versus the prior year. And the last, I would say, five quarters, we are north of 75% growth. The next slide, Slide 11, just is a reminder of what we sell. We sell instruments; we sell assay kits, which are the razorblades through the instruments, and then we do the services and now we've got HD-X and SP-X on the instruments now launched and the SR-X we launched last year. And then, you can see that we have different assay kit platforms as well for each of the different types of instrument platforms and then the accelerator on the right.  This next slide is one that many investors have asked us about over the years and when we first launched our technologies and talked about the need for sensitivity, many of the competitors said, well, there is no need for sensitivity. Well then, we got involved with Powering Precision Health and had all these scientists validate that earlier detection, as well as less invasive detection, coupled with eliminating matrix effects and being able to get answers from very small samples are all major benefits of sensitivity.  And so, our sensitivity advantage versus competition has significantly evolved our position. But then we also automated it, created a dynamic range and then we now are moving into multiplexing with our multiple platforms. And I think, three or four of our competitors have exited over the last three years. But we still are showing this slide.  So you can see that how this evolves and how our competitive platforms still have major advantages. And we are going to continue to evolve those advantages. As you can see on this next slide, which basically is the goals that we set going into 2019 that we were going to establish. By the end of the first half, we've actually advanced most of these goals at a place where we are way ahead of schedule.  So we're really excited about our neurology penetration. We are excited about the beginnings of oncology penetration with the SP-X, strategically acquiring Uman, plus continuing to have a lot of third-party validation of our Nf-L, we'll talk about. And then in the financials, we've had growth not only in the top-line, but also in our gross margins ahead of our original expectations. And then on the technology, we are continuing to pursue a 100 x advance.  The next slide gives you a sense of what it is about our technology that makes it compelling to pharma. Over the left side, you can see that toxicity and efficacy are huge issues for many of today's drugs. And efficacy done for cancer, particularly, you are talking about very low levels of probability that the drug is going to work.  And in the area of neurology, it's just as bad. There hasn't even been an Alzheimer drug really that alters disease progression approved at this point. So, when you use our technology and you get a Phase 1 approval, there is a 300% increase based on estimates from pharma itself and biotech of the probability increase that you'll get a Phase 3 approval.  And on the right-side you can see the rapid ramp out of our technology with CROs. These are the Quests, the LabCorps and others that are utilizing the technologies, as well as Rules-Based Medicine. The FDA, on Slide 15 is now providing guidance saying, we actually encourage you to use biomarkers to get drugs approved because we think you can get drugs to be approved with less dosing, which makes them safer, and they are going to be more effective if you can see the disease earlier via biomarkers. And the next slide just shows how rapidly our installed base has ramped up over the last couple years and we have a very broad distribution now of used cases, and most of those customers – many of those customers come to our Powering Precision Health Summit to give us the opportunity for referenced selling.  This next slide just shows that, from a standpoint of – when you have a biomarker that you have launched into the research markets. It's got analytical validity and that is creating a lot of interest and a lot of excitement. Companies like Illumina are primarily playing in the research markets and we are primarily, 100% there today.  But as we get clinical validity and you move from the left to the right, the value of your markers go up, and Nf-L happens to be one that we are the only ones that really can see it in blood effectively and repeatably and with a lot of third-party, peer-reviewed validation and that is one of the key markers that we're going to keep trying to move to the right working with the FDA. And you can see on the next slide, the number of publications using Nf-L is growing astronomically right now and ECTRIMS, which is coming up in Stockholm, the next one, I would expect you are going to see it further eclipse the 40 presentations that were in the spring ECTRIMS and on the right-hand side you can see a lot of companies with active trials utilizing Nf-L, primarily for multiple sclerosis at this point.  But there is evidence that it can be utilized in many other neuro diseases. The next slide just shows you that if you look at the publications in CSF and blood, you might have a total of about 500 publications. Most of those are using Uman's Nf-L. But then, when you look at how many publications are only in blood measuring Nf-L, you'll find out that 100% of the publications are using Uman's antibody pairs and also Simoa by the way and so that's key to our acquisition.  And we spent three years trying to come up with antibody pairs that could relate to Uman's and you can see that, when you look at blood and CSF, Uman stands apart from all of the other redacted places that we looked for those antibody pairs. And so, what's exciting for us is, when you look at the next slide, we see really three shots on goal for our current focus.  Obviously MS, because there is already 15 approved drugs, $22 billion of value out there that Nf-L is starting to help patients see whether or not that drug can be effective or not and there is new trials based on that, obviously, but we also are real excited about also Alzheimer's and the beginnings of seeing disease 16 years before dementia was recently read out in a publication from Europe.  And then TBI is another area where we actually have primary endpoints currently under way. So on the Alzheimer front, the next slide, you can see that there has been bad news from Biogen on aducanumab. But there is still continued interest, obviously, as 50 million patients, there is a lot of undiagnosed Alzheimer's and there is the beginnings of us being able to see in blood, as mentioned by the CNN report on Nf-L.  But also on beta-amyloid, we've got area under the curve of 99% on, kind of first phase technology, which we think someday it can really provide a very non-invasive way that see amyloid beta and amyloidosis early in that disease cycle. So in the next slide we used at the recent Alzheimer conference, there has been a lot of failed drugs, but you still see companies like Eisai going after anti-beta-amyloids and we actually believe that biomarkers can actually represent a platform for rescuing many of these drugs at a later time. So, what I'd like to do now is turn it over to Amol to get a little bit deeper into the financials. Amol?
Amol Chaubal : Thanks, Kevin. I am going to provide some additional financial details about our Q2 2019 performance, and would be referencing to Slide 23. As Kevin noted, revenue in Q2 of 2019 was $13.5 million, compared to $8.6 million in Q2 of 2018, which represents 57% of revenue growth.  Product revenue grew from $5.2 million to $8.8 million, an increase of 69%. This was driven by 77% growth in our consumables business and 53% growth in instruments. Service revenue grew from $3.2 million to $4.8 million, an increase of 50%. Year-to-date, total revenues are $25.9 million, a 60% increase. As previously stated, we are not providing revenue guidance. Stronger adoption momentum and a small level of favorable timing in our consumables business led to a greater Q2 revenue than we anticipated. As stated in previous quarters, our goal is to deliver meaningful growth each quarter, while continuing to build backlog for future quarters.  Gross margin in Q2 was again very strong at 51.2%. Prior year Q2 it was 46%. The 520-basis-point increase over prior year was due to volume leverage and productivity gains in our consumables manufacturing.  We believe we have a significant opportunity for gross margin expansion in the future, beyond our Q2 2019 performance as we scale our overall business, reduce product cost and continue to drive the mix to more consumables revenue.  As communicated in our Uman acquisition webcast, we expect this acquisition to expand our gross margin by about 200 basis points starting Q4 of 2019. Operating expenses totaled $17.4 million in Q2 2019 and included $1 million in one-time due diligence and transaction cost expenses associated with Uman acquisition. As discussed in our Uman acquisition webcast, we expect to incur $2 million to $3 million of one-time cost associated with Uman transaction and integration in 2019. Also as we discussed in our Q4 2018 and also Q1 2019 earnings call, we expect operating expenses to increase from our Q4 2018 baseline of $14.6 million as we look to continue to add to our commercial organization and other key areas of business, including resources to support the development of diagnostic strategy.  In Q2 2019, we raised $48 million in net through our ATM facility. The balance sheet is in good shape as of June 30 with approximately $73 million in cash, of which $1 million is collateral for the letter of credit we issued to our new building owner as a security deposit. Please note that we will use – or we have used $16 million of this cash balance to close the Uman transaction in Q3 2019. During Q2 2019, our cash balance increased by $38 million, driven by a $48 million ATM raise, less P&L loss, excluding $2.2 million of non-cash items such as stock options and depreciation and $1.8 million increase in accounts receivable driven by revenue growth.  Weighted average shares outstanding for EPS totaled 23.2 million for Q2 2019 period. At the end of Q2 2019, shares outstanding were 24.9 million. Overall, we are pleased with our Q2 performance and are committed to delivering solid 2019 results in line with expectations.  With that, I would like to turn it back to Kevin.
Kevin Hrusovsky : Excellent. And so what we'd like to do is open up for questions and then, maybe make a final remark post questions.
Operator: [Operator instructions] And our first question comes from Puneet Souda with SVB Leerink. Please proceed.
Puneet Souda : Yes, hi, Kevin. Thanks for taking the question. So, a first one, quite a few things happened in the quarter in terms of both acquisitions and new product introductions and maybe on the new product introduction, maybe, HD-X, I was hoping to get a view on when the product is shipping out? And if you could elaborate a bit on the trade-in program and how broad that is?  My question is around customers who are potentially – who can potentially hold back purchases in anticipation of the next HD-X platform. So, just wanted to get a better understanding of that and how are you addressing that with the trade-in program?
Kevin Hrusovsky : Sure. Thanks, Puneet. And so, basically, we do plan and what our original view on all this has been is that, we will be shipping the HD-X by year-end and so, we do believe that we are going to see HD-X revenues in Q4 was the commitment that we've made and we actually have a couple early access beta programs under way right now including our own accelerator, a couple external and then one internal.  And so, my view is, is that, there are folks that are still trying to buy HD-1s. But it's our – I think it's in everyone's interest for them to not buy an HD-1 moving forward given that HD-X is a far superior product. And we think it's got not only significant advances in the reliability, but there is three incredibly important functionality advances.  And one of those functionality advances is, magnetic bead loading of the beads onto the array. We had on average about 15% bead loading prior to this advance. And so, we think that this advance with software ultimately will allow bead loadings of around 80% to 90%, even maybe 90%-plus and when you start driving bead loading it's going to lead to even greater sensitivity.  And so, we are committed to get to another 100 x in sensitivity to further build our lead versus any competition that's trying to catch-up to what we've done here, because we can see a major market opportunity for even advanced sensitivity given that there is a lot of proteins being identified now, sub-fraction proteins, modification, translational modifications in cerebral spinal fluid that we know a lot of pharma/biotech would like to see in blood. So we are working very judiciously and aggressively to advance the overall sensitivity. So we don't think there will be any more HD-1 sold given all these significant advances with the HD-X. And so, we did continue to see growth in our instrument volume and revenue in Q2, despite what you are describing and that is, would someone wait for the HD-X?  And so, certainly there could be folks that would have bought in Q2 or Q3 that are deferring that to a later date. And I would say that, we will start shipping HD-Xs in Q4 for sure and we will certainly be in full-fledged revenue generation starting the latter part of Q4 but moving into Q1 for sure. So anyway, I hope that gives you some color on this HD-X.
Puneet Souda : Okay. That's very helpful. Thank you. On – another question on consumables, correct me if I am wrong, but I am seeing a sequentially flat revenue here and I am not sure if you covered that already. But is this more of a seasonality or something else that we need to keep in mind in going ahead and into 2020 as well?
Kevin Hrusovsky : The seasonality obviously is very important and we are seeing a lot of pick-up in trials, some big trials, using Nf-L. So, we do see continue d favorable timing that has allowed us to ramp up at this level for the last two quarters. But overall, you can see we have a very strong trend of greater than 50% growth.  We expect that that is going to continue. But what you have here is very big levels of sales for our consumables. And so our year-on-year growth, this represented 77%. So the seasonality effect is big, but we have also had some favorable timing.
Puneet Souda : Okay. Thanks. And then, if I could ask on a little bit of longer-term, I mean, given the growth you are seeing in the segments and with HD-X launching and with Uman being in-house, just wanted to get a sense of the longer-term trajectory.  I think you have always highlighted close to 40% or slightly more than 40% long-term CAGR. Is that something that you believe you will continue to have or could we potentially see some growth beyond that? Thank you.
Kevin Hrusovsky : Yes. Obviously, Puneet, we are very committed to execution, as you know. We've got a team of leadership. I think there is about 65, 70 people in our company from the old Caliper and we never have missed guidance or expectations and that type of the thing. So we are really bullish on making sure we continue to not over-promise and that we continue to over-deliver. And so, to that end, I would strongly recommend as I have in the past, not significantly ramping up models beyond this 40% level of value – of revenue growth, as we look forward. And I would also say the denominator keeps getting larger, right?  And so, achieving the 40%, we went into 2017, 2018 and went into 2019 talking about that same number and we've never missed on being able to achieve that, even though the denominator is getting bigger. So we are very bullish on our ability to achieve at that and we've got a track record for having done that.  So we think it's in everyone's best interest to kind of keep things in control. It’s still best-in-class growth rates. We know we are delivering at a level of growth that's somewhat unprecedented in the industry and we are doing it with - without the regulatory and reimbursement risk. And we are doing it with a lot of repeatability and sustainability. This is the seventh quarter that we have been public. And I think everyone was thinking okay, three quarters we see, but normally these companies like this, they go through their fourth quarter and then they start to really disappoint. We've worked really hard to continue our growth and as you can see, it's actually continued to stay at levels above 50% - let alone 40%.  So, we are very confident in that 40% longer-term level and that's the kind of way that we would recommend that people think about us, because it's best-in-class. And we are driving, as you can see, with that level of revenue growth, really significant gross margin enhancement.  And now we've further forward-integrated or backward-integrated into some accretive gross margin opportunities with the Uman acquisition. We stated that on a four year basis, we see 200 basis points of overall company improvement by that acquisition.  And so, we're pretty excited about what we would consider to be low-risk ways to really move very rapid growth, somewhat unprecedented levels of growth with really ramping the gross margins with a lot of repeatable consumable business out there.
Puneet Souda : Okay, great. Thanks, Kevin.
Operator: Thank you. And our next question comes from Doug Schenkel with Cowen. Please proceed.
Doug Schenkel : Good morning. Just to start with a couple of questions on the top-line growth outlook. So, Kevin, you are tracking well ahead of your revenue growth outlook for 40%. As you look at the second half, I just want to make sure there is no factors you'd point us toward that would tell us to be mindful of as we update our models that would essentially be in the category of things that would prompt you to deviate from what has been a really strong first half set of results.
Kevin Hrusovsky : Yes. I think that what I have noticed over the last year or so, Doug, is that investors – and I suspect it's because of great analysts and yourself, as well as the others that have been on this call thus far and those that will be on it next.  You guys, whatever you have done, you have been able to get into a very detailed understanding and a lot of granularity into our businesses and I think you have been able to keep investors very well advised to our growth prospects. And that's something that's – it's your – it’s what you do.  That's your thing. From our vantage point, because investors have felt pretty comfortable with this 40% long-term position, I am saying in this call, we are not changing anything, right? And so, as I've encouraged in the past, please don't start to ramp up expectations based on us continuing to grow at levels greater than that 40%, because the 40% is something that we have always felt really good about.  And that's, we know, best-in-class growth and we don't want to in any way, create risk profiles for investors. It's important to us to kind of manage what we consider to be a pretty damn good productive opportunity for value creation with lower levels of risk. So that's why, Doug, we would encourage that we are not changing anything in this call relative to that - those outlooks.
Doug Schenkel : Okay. That's helpful. And thank you, I thank. So, in terms of just the quarter, your instrument revenue declined sequentially, but still grew a healthy amount year-over-year. I am just wondering if part of this is a function of, you essentially moving folks from HD-1 to HD-X.  And I guess, building off of that, should we expect instrument revenue to actually accelerate in the back half as we get HD-X out there with more gusto and gain momentum on SP-X and SR-X?
Kevin Hrusovsky : Yes. So, I think the way I've talked about this in the past, Doug, is that, when I look at that longer-term opportunity for 40% growth with bigger and growing denominators, which really starts to further create a differentiation of what we've got here. What we've said is that, we feel like that growth trajectory is probably going to average 40%, but you'll probably see instruments on the lower side of that.  And you would see the consumables potentially, on the higher side of it. And I would track, like, services, probably, more around the 40%. So, if you were to look at a profile, it would say that you probably will see instrument growth south of 40%, but obviously positive, you would see consumable growth north of 40% and certainly sometimes big trajectories and you will see the services maintain that kind of.  That's the way we would have you think about the longer – we don't guide, but that's the way I would encourage you to look at this going forward. So, on the instruments side, you are right, we are eclipsing significantly those kinds of expectations and what you have there is a whole lot of catalysts, growth catalysts on instruments right now. So we've got the combination of SP-X and SR-X and maybe a tailwind or a headwind that you might see, that you were describing, Mark, is, I am sorry, Doug, is that you saw this concept of HD-1 to HD-X conversion could represent some level of headwind. I think that there is a chance that it could. I still feel – we still feel very comfortable with these long-term growth trajectories.  You might see movements from quarter-to-quarter, but in general, we are seeing a level of interest and excitement for our differentiation and now we are seeing a lot of competitors exiting, which is further fueling our ability to achieve a lot of what we said we were going to achieve. We probably wouldn't have predicted some of the exits of some of the competition.  So, we are pretty formidably, feeling very good about all aspects of what we've launched. And HD-X was launched early. SP-X was launched early. So that's the other thing and our execution is, lot of times you do read about companies missing. And so, we've been not only on-time, but we've been ahead of schedule and HD-X we will ship in Q4. So, will there be a little bit of an HD-X/HD-1 hiccup in Q3? I don't know, but I think we've got plenty of other things that we've got working that are going to make that a moot point opposite the expectations that we are setting.
Doug Schenkel : Okay. Super helpful. Now just pivoting to consumables for a minute, the annualized annuity stream continues to track above your target for about 33% of the instrument list price. That ratio has been the target, historically and you have traditionally and consistently tracked ahead of that, at least for the last several quarters. So with that in mind, can you first just talk about, what really is driving the upside over the last quarter or so? And recognizing what you described earlier in terms of just, I guess, what my interpretation would be, comments on just kind of guidance and modeling philosophy.  I just want to make sure there is nothing you are seeing that would suggest you are on the precipice of dropping to what would still be a pretty impressive ratio, but something closer to 33% versus what we've seen, which has been better than that recently.
Kevin Hrusovsky : Yes. So Doug, I think you are asking an important question. I am going to provide some visionary comments here. And this is key to this execution path that we are on. So what we are trying to do, Doug, is to have an equity that is actually really incredibly performing and executing with really kind of stellar growth levels and gross margin expansions, but yet we are pioneering. And so, we are totally offering something to the world and to these healthcare markets that disrupts the way they practice, because if you can start to see disease earlier and see it less invasively, you are talking about a phenomenon that is almost magical, right?  And so, we are bringing to the market, in a democratized way instrument platforms that get placed around the world, and that takes over $100 million of investment to kind of get those instruments to work. And that's where a lot of the competition was never able to democratize into instrumentation platforms, this capability of sensitivity.  They could sometimes approach it, almost get to like, maybe 10 x less than us in sensitivity, but they would require you to send a sample to them and they would run it in their central labs. And so, the concept of democratizing this around the world in these instrument platforms was a very bold vision and we know that our technology doesn't work all the time.  That it’s a pioneering approach similar to when Illumina early on it's not easy to get this technology to really advance. And so, we've actually been real surprised by the level of usage of our technology despite some of the issues and we have some, I'll call them Pareto analyses that are somewhat encouraging, actually, where we've got maybe four or five top users consuming a large portion of utilization.  They might be running at levels of utilization to your number, you were talking about 33% of equipment value. We had a lot of companies that are running over 100%. But then we've got a lot of companies that they haven't broken through the inertia of these pioneering technologies. And so, a lot of why we are launching product lines like the HD-X and the SR-X are ways to start to move these middle-tier customers into utilization levels that we know they want to be in, and they are desperately trying for it.  So, we actually think it's a fairly low-risk execution around ramping our consumable over the next couple of years by just making our technologies much more usable and repeatable and easier for customers to use and get a broader distribution of high use levels. And so, could we end up with use levels significantly above where we are?  I think there is a shot at that and that's why we are being cautious as we are rolling out platforms like the HD-X that we have put a couple years and probably $50 million of investment around making sure we are creating a precise technology. But I think it's going to yield greater consumable utilization. So, I don't see any downside at this point. The 33% feels very solid.  And I think that everything I am seeing, if we complement that with menu expansion and create other markers that people are interested in, there should be a lot of headroom of opportunity here for consumables. So, that's actually why I am so bullish on this play and that's why we are working hard around launching new instruments, because of that usability that it creates for the consumable pull-through.
Doug Schenkel : Okay. Last one, Kevin, just a clean-up. I think you guys noted a couple of times in your prepared remarks that there was some order timing that benefited Q2 revenue. I just want to make sure I heard that right, and if so, could you quantify how much this was? And what revenue lines specifically did this impact? Thank you.
Kevin Hrusovsky : Great question, Doug, and that's probably my conservative nature to want to make sure that everybody understands that a lot of companies are routinely saying that they missed because of timing. And, we like it when we are always saying part of why we are way overachieving is, sometimes due to timing.  So, we think we've got time working for us right now, Doug and that we are ahead of the game, and we are creating great visibility in the way we manage backlogs and the way we manage a lot of aspects of our forward-looking visibility to our revenue streams.  But, I think you are going to continue to hear me, when we have major beats over what expectations were. I think you can always look in and see places where timing has advantaged us. And so, I think in the area of consumables we got some large trials that have been being run in the first half of this year.  Nf-L trials, which, by the way, could spawn on a lot more Nf-L trials, because a lot of those are going to get published and they are pretty game-changing trials. But, with that said, when I see those large trials happening with a lot of robust volume, I want to make sure that we are appropriately categorizing that we obviously, for like, maybe, the sixth quarter in a row, we are beating this 40% long-term vision.  I just want everyone to not get out of control. So there was some timing benefit in consumables. And I would say that, we still feel very confident, we are going to be delivering really strong consumable growth moving forward. But, there could be some level of timing.  Then, you might end up seeing it, as the year goes on, that we continue to get advantaged by customers diving on our technology and now that we own Nf-L, we actually are seeing new opportunities where we didn't really expect this Nf-L Uman acquisition to be as much offensive. We thought there was a plenty of justification just for defense to make sure we continue to get a good solid supply of these antibody pairs. If competition would have gotten control of Uman, we could see that that could have been a real threat to the value-creation opportunity that we see ahead of us. So, we acquired it primarily for defensive reasons. But, what we are finding now that we've owned it, there is a lot of offense.  There is a lot of ways that we can actually get these technologies into our competitors' hands and further advantage our own value-creation without impairing our value-creation on the Simoa side. So we are pretty excited about looking at Uman, not just as defense but also as offense.
Doug Schenkel : Okay. Thanks, guys.
Operator: Thank you. And our next question comes from Sung Ji Nam with BTIG. Please proceed.
Sung Ji Nam : Hi. Thanks for taking the questions. Just another one on the HD-X platform. Quanterix has a significant installed base of HD-1. So, Kevin, is there a reason to think that – is there a reason why the majority of the installed base will not be ultimately upgraded to the new platform?  And then, could you maybe talk about kind of what your expectations are over the next couple of years in terms of the replacement? And I think, I am not sure if I heard your answer to Puneet's questions earlier about what the trade-in program entails.
Kevin Hrusovsky : Yes, so, great questions, Sung Ji. We basically do want to convert most of our installed base over to HD-X in the coming years. We wouldn't consider this in something like the next few months. It would take, we think, a couple years.  But, what we are doing is, going to where things are most strategic and trying to make sure that we get those high-volume, most strategic customers first onto the HD-X, because of the volume opportunities that it represents in our consumables. And so, what we see there is, an economic that creates an incentive for them to trade an HD-1 in, where they get relief on the HD-X by trading it in.  But we also feel like all of the positive features of the HD-X creates a lot more excitement for why they want to do that as well. And so, someday, I would think that you'll see at least 50% of our installed base converted over. Will we ever get to a 100%? I don't know. I have belief that it's possible. It's possible too that some customers will decide just to keep running the HD-1 and feel that they've gotten a lot of comfort with it and they don't want to convert over. But I think there is a big opportunity missed by them and so we are going to be working hard to help make sure they see that. So I don't know if that answers your question?
Sung Ji Nam : Yes. That's very helpful. And then, just another question on the consumables. Sorry if I am not getting this. But, so, for the quarter, the significant growth and other year-over-year growth that you saw was largely driven by your high throughput customers. And is there a reason why we shouldn't anticipate why we wouldn't see kind of continued strong pull-through from your high-volume customers over the next couple of quarters?
Kevin Hrusovsky : Yes. We actually feel very confident that the high volume users are not only going to keep buying at a very strong pace. But many of them have insufficient capacity for what they currently see in their future. So we actually are viewing many of our larger users in a way that we actually see potential for more placements. And so, we are pretty encouraged by that.  We don't really see anyone right now that has reached the level of usage that says that, there isn't significant headroom of opportunity. So, that's encouraging, and I think that when you are pioneering like this, there is so many ways that people decide to start using your technology and that's why publications are fueling a lot of the excitement.  Because each time a publication issues, it causes all the researchers to see a new way to use this disruptive tool and the reason we invest heavily in some of these different conferences, as well as like Powering Precision Health Summit, is that it gives us a chance to showcase through the actual scientists that are running those trials, they stand up and they present their data.  So, it helps to further create excitement for the use cases when our customers are the ones providing the reference selling approach. And so, we have a very large reference selling model, and that is the best way and the most advantageous way to grow these businesses. We feel very confident about the high-end users. Most of our focus right now is turned to getting these lower-volume users to have a technology that they believe in and trust and don't feel like they are going to lose samples. And that's a big opportunity with the HD-X, as well as the SP-X and the SR-X.
Sung Ji Nam : Great. And then, just lastly from me. Kevin, you talked about the strong showing at AAIC. We are starting to hear more efforts around blood-based diagnostics development for early detection of neurodegenerative diseases.  And I was curious, are these efforts that we are starting to hear, coming out of AAIC, as well as others, are they competitive in nature to what Quanterix is trying to do? Or if these might be actual opportunities for you guys going forward?
Kevin Hrusovsky : Great question. My view is, is that, they are opportunities, because, one of the interesting things is, many of the companies that have data that is compelling relative to seeing Alzheimer's early in blood, they actually attended our dinner and we invited them there. Many of them have technologies that can get there one-off. But the challenge in this is having a scalable economic. And so, the greatness in our technology is that, we've reduced a very tried and true long-term historic assay category, the ELISA into a digital ELISA, which allows a much better economic and a much better scalability.  And so, we also think that, because we can see everything they can see, them seeing it and creating interest in it is a great thing for us, because it's further evidencing just how – how big of an opportunity this can be. I mean, Roche recently made some comments that there is 50 million Alzheimer patients out there and we got to find a way to see this earlier.  And there is so much that goes undiagnosed and we know that nobody is going to want a cerebral spinal tap or a lumbar puncture in order to figure that out. And so, these advances, we think, represent a monumental opportunity for our technology. So we aren't asking people to buy our stock based on that, because that's a next-generation diagnostic that we are working towards.  But we think there is significant opportunity to get a lot of value-creation without even going there, but we are going there. It's just that we don't want you buying it based on us going there, because there is plenty of value-creation, we believe in the research markets where there is no regulatory reimbursement risk. And we still encourage and you can see the rapid ramp that's occurring in that category.  And everything we do in that category to rapidly ramp it is creating more validity and more confidence, and that next step, when you get to diagnostics and this gets back to the scalability of our technology. We now got it deployed at over 350 places around the world. And that learning curve around democratizing and creating scale is a very important learning for a pioneering technology.
Sung Ji Nam : Great. Thank you very much.
Kevin Hrusovsky : Our pleasure.
Operator: And our next question comes from Mark Massaro with Canaccord Genuity. Please proceed.
Mark Massaro : Hey, guys. Thanks for taking the questions. The stock is down and it's a little confusing, because you have reported another strong quarter. So, I think one of the reasons the stock is down is related to the fact that consumables did not grow sequentially.  According to my record-keeping and my model, this is the first time this has happened in a couple years. So, as we think about what happened in Q1, you put up a huge 124% year-over-year growth rate in consumables in Q1. I guess, Kevin, as we think about your comments about timing, was Q1 – did you see a large number of work and projects run in Q1? So is that the difficult comp related to timing? Or I think you had other comments about Q2 lumpiness as well.
Kevin Hrusovsky : Yes, I would say, Mark, if you averaged out the Q1, Q2, you see a pretty reasonable curve of trajectory that's already – that further is accelerated versus what we have been doing and I think that the comments on timing were primarily made in Q1. If you go back and review, we did talk about that Q1 125% growth not being what you should expect moving forward and no one did, by the way.  And so I know we significantly beat expectations in the category of consumables. So I mean, don't misread this. We are significantly beating expectations, but we are also creating the next-generation of opportunity with a lot of our instrument approaches that we are taking. So, I think that Q1 was the timing topic and it did create some of this issue that we are seeing relative to what you are calling sequential growth.  And we would always say that, it's important in these types of businesses to look at seasonal growth and that's why – and the reason is, because there is different types of capital budgets as well as operating budgets that are placed at different periods. And so, you do see, from quarter-to-quarter in these types of businesses, you do see seasonality.  And so, we do encourage always to be looking at that how did we do versus last time Q2, and there you can see we grew 77%, which is still significantly above the trajectory that most people would have expected for our Q2. So I think, we are really in a pretty good place relative to that consumables trajectory. But again, I'd say we are staying conservative.  We feel really good about the timing of future trials as well. We can see a lot of big-ticket opportunities in consumables. And we have a lot of backlog management that's possible in these other categories too, which is great. You really can't build backlog in consumables, because, you got a lot of demand that requires a lot of that purchase pattern to occur in the quarter. So, that makes us cautious, but yet, our performance over the last, I would say, 18 quarters has been incredible in this category of consumables. And while we are doing it, we are also significantly ramping up the gross margins. And we are further cementing things like the Nf-L franchise, which – that is a lot of the future growth in consumables.  And that is not in one company, that's across the board and all these publications that are coming out is creating a lot of future growth in that category. So, I think we see consumables being, by far, the easiest category for us to continue a very strong growth trajectory over the next, I would say, couple of years.
Mark Massaro : That's helpful. And then, I think one of the competitors that has exited was Singulex and I think they closed about five weeks ago. Do you guys have a sense of what their ballpark install base or revenue business was? Presumably, that would be a nice opportunity for you and have you initiated – do you know where those systems were placed? And have you started going after them?
Kevin Hrusovsky : Yes. They basically have evolved themselves into mostly in the category of cardiac, Mark. So they have spent a lot of time focusing on Troponin as being a future biomarker for heart health that they view as being a much more productive biomarker than cholesterol.  And so, a lot of what they had done over the last several years was built, an instrument position that they ended up divesting and then they built a services business where they were running these in-house and then they were subsequently divesting pieces of that. And so, they tried, I think, going public a couple times.  But they couldn't sustain with what I'll call services and lack of the ability to really keep placements going with consumables, the ability to really, I'll call it, find investors that felt that there was the right risk profile for building their business, where we have - in our case, we started with instruments with a lot of placements.  The services business was more of an afterthought that we utilized primarily for promotion of selling instruments. But then, we turned it into a very profitable business. And so, you are absolutely right. There are opportunities for Singulex. I wouldn't draw a lot of attention to them, because they weren't that large of a competitor. But, I would say that, it is a telling example though of our model at work where we automate, as well as we provide dynamic range, as well as we provide the ability for our broad menu.  And we do all that with this exquisite sensitivity that can be deployed not just in early disease detection and less invasive, but also allowing you to eliminate matrix effects even on abundant markers. And so, we are starting to now move into cancer, where there are markers sometimes that are abundant that have a lot of matrix effects and are trying to get an answer from small sample.  So, they didn't have the breadth of capability and technology to go after that. So, we would say that most of that business has been dropping over the last two or three years. And so, there wasn't much revenue left in it when they closed. So, historically, their placements probably around a couple hundred of instrument placements in different pockets of the world and they are different platforms and they did sell-off some of those assets earlier. And then, the service revenue at its peak was $50 million in revenue is what our estimates are for that Troponin cardiac business that they then broke up and kind of spun out.
Mark Massaro : Great. Thank you, Kevin. That's it for me and I'll see you tomorrow.
Kevin Hrusovsky : Sounds great, Mark. 
Operator: Thank you. And our next question comes from Tycho Peterson with JP Morgan. Please proceed.
Tycho Peterson : Okay. Thanks. Kevin, I want to go back to kind of the competitive dynamics for a minute. I know you guys, for Alzheimer's had the Nature publication. I think you have come out and said that you need to kind of pair Nf-L up with other biomarkers. So, you could talk a little bit about how some of that development is going? And then, some of the alternatives are leveraging massspec technology, so just curious in the long run how you think about that competitively given what we've seen from Wash U and Brigham and some of the other efforts.
Kevin Hrusovsky : Yes, no, no. Great questions, Tycho, and starting with the multiplexing, what's amazing about our technology is, is that, if you talk to some of the leaders out there, like an Al Sandrock, who is Chief Medical Officer at Biogen, or Lilly or Novartis, these companies that are using our technology. They don't know where the field is going to go in neurology. And so, every day there is other biomarkers that are being found that could further create specificity to a disease category. Right now, what you have is, strong sensitivity of Nf-L. But it's not specific to any one disease.  It basically says, if you have got neuronal damage, then it measures it. And so, there is a lot of different ailments – it can be concussions, it could be Alzheimer's, it could be Parkinson's. There is a lot of different diseases that get impacted by neuronal damage. And so, that is an incredible measure that we think is going to be needed across the board futuristically in looking at non-invasive early detection head health. Now, we see a lot of movement now into areas of inflammation of the brain. Can you augment that Nf-L marker with inflammation markers that might reveal certain categories of disease? Or can you augment it with Tau, because you are looking at a specific type of Alzheimer patient that's got tauopathy? Or you are looking at beta-amyloid and there is two different beta-amyloids. There is a 42 and a 40.  Those proteins have shown the most ability to clinically discriminate Alzheimer's. And so a 4-plex of those, as an example, is right now a very hot product that we offer. And there are changes being made by the FDA to actually have categories for Tau, categories for beta-amyloid, and then categories for neuronal health. They are actually building categories in the FDA around biomarkers and we have a 4-plex that kind of goes at all four of those categories. And so, we are feeling really good about that part of the progress and the ability to do sensitive measurements, because you just don't know how much sensitivity you are going to need and you don't want to switch platforms later.  So, anyone that is wanting to look at futuristic multiplexing for neuro health wants to make sure they've got the sensitivity on their platform to get at other markers. And so that plays, again into our advantage. Tycho, the second question you asked, if you could just repeat that? The first one was around the multiplexing.
Tycho Peterson : Well, just, I mean, just curious, some of the other platforms are leveraging massspec technology, with the Wash U one that the Times wrote about, so.
Kevin Hrusovsky : Perfect, yes. C2N is a Wash U kind of spinout. We really like those guys a lot. They've done some incredible work on understanding the metabolisms of different biomarkers. And many of the pharma companies have utilized them. But again, using a massspec -- and I'm on the Board of 908 Devices and that's a company where we are reducing to a hand-held to massspec because it's such a complex, expensive technology that it's harder to get it into a scalable platform.  That's the key to our technology, is the scalability of it, and being able to see the same things that they can see and more, we actually think bodes well for relationships with companies like that that do have relationships with pharma that are trying to evolve their scale, we could represent that opportunity. In fact, C2N has one of our – they own a Simoa.  So, we actually see these use cases being very productive and we believe that it's getting more and more attention, because I think the field of Alzheimer's has been very restricted in many respects, not just because of not seeing the disease long before symptoms, but also because of the pain that the cerebral spinal fluid sample requires.  That lumbar puncture is expensive, invasive and it can actually be – it can create infections. There is a whole lot of problems with it. And so, by opening up this ability to see in the blood changes everything for the way that the disease gets researched. So, we actually feel like our investments that we continue to make in our platforms and our menu for fourplexing against the most important biomarkers in neurology is important. We have 17 or 18 now. And SNAP is another category, SNAP-25 is another category that is futuristic, but you need our sensitivity to not only see it in CSF, but to see it in blood.
Tycho Peterson : And then, I am curious if you could update on any IVD partnership discussions you are having now? I know, last quarter you said that you have had decent interest from some of the traditional IVD companies. Is there a chance we could see the deal in the back half of the year?
Kevin Hrusovsky : Yes, I would never rule out an opportunity for a deal in IVD. I would say that, we probably learned a lot of lessons, Tycho, on the deal that we had with BMX and it took us four years basically to remove ourselves from that arrangement that was an exclusive. And by doing so, we feel like we've unleashed a new way to interact with large diagnostic houses around the possibilities of what Simoa represents.  And so I do think that, it remains a strategic goal for us in 2019 to advance an IVD relationship. And I think, we've previously announced that there was a blood screening deal with Abbott and some other works with Abbott.  And I happen to think that Siemens and Roche are also incredibly productive diagnostic houses that we've had interactions with and want to continue to understand how we can benefit their large distribution capability. I think Roche has 70,000 instruments out there and Siemens probably has 10,000.  And what was the challenge with BMX was, they were infectious disease. They weren't focused on cancer and neurology, which is really where we see the biggest disruption occurring with our technologies.
Tycho Peterson : And then last one, just can you update on sales headcount? I think you have talked about adding 40 people for the commercial ramp, in particular around HD-X in OUS. So where are you in the buildout?
Kevin Hrusovsky : Yes, we have a combination in the way we look at sales, Tycho. We have number-carrying pure sales people. Then we have Ph.Ds that like field application technologists that are part of that commercial organization. And we are evolving that about 30% a year and the total headcount that we have in our commercial organization now, Amol, I am thinking it's probably somewhere around 70… 
Amol Chaubal : Yes. I would say that.
Kevin Hrusovsky : People at this point. And so, we've added three leaders, I mentioned in my remarks, that are really the predecessor to bringing in the next wave of sales personnel. So, I think we feel really good that we've got the right leadership in place now to further scale that. And we've added, I think we are up to 14 number-generating sales people and we are going to continue to evolve that.  We find it, it's a real productive investment to add sales people. And so we are actually also looking at ways to even further accelerate commercially the ability to even grow faster with different sales approaches and models. But we wanted to make sure we absorbed all of the execution dimensions of our current model before doing that.  A lot of that was the instruments. We wanted to make sure we had instruments that, when we sold them, we knew that they were going to get used and they were going to create a lot of burden on FSEs and field service applications, because they are hard to use.  And so, a lot of our investments in instrument platforms will actually precede the investments we have in sales, because we want to make sure when we scale that we are scaling with instruments that are scalable and creating the right trajectory on consumables and instrument revenue growth.
Tycho Peterson : Okay. Thank you.
Kevin Hrusovsky : Thank you. 
Operator: Thank you. And I am showing no further questions at this time. I would like to turn the call back over to Kevin Hrusovsky for closing remarks.
Kevin Hrusovsky : Excellent. Yes, I appreciate it. We will be at the Canaccord Conference tomorrow. I think Mark mentioned that. Pretty excited to further build out this success that we have been able to show. This has probably been a real key indicator for us of somewhat of an inflection point.  The first half of this year and our ability to really deliver growth across all three business categories at the level that we've been able to do further creates our confidence and our ability to keep this trajectory accelerating.  So we are feeling really good about all aspects of our execution right now including the integrations of the two acquisitions that we've done that we think were both very accretive acquisitions. So, in summary, we have - we think, a category-defining, unrivaled sensitivity in technology that we know is best-in-class that we are using to disrupt with a lot of this growth. We have a very methodical market penetration strategy that we think rewards investors for being in research where we have a very low risk profile of advancing the type of growth trajectory that that we've been seeing.  We also feel like, we are linking together DNA and RNA there is many publications of possibility given that the SR-X can actually do DNA and RNA that would adjunct our protein. And that we think better links disease across this liquid biopsy opportunity and that's what we are recently launching into.  Also, key to is the validation. We've got 19 of the top 20 pharmas now using the technology. We are sponsoring the Powering Precision Health, which we see a lot of growth of that attendance. We also see 800 plus Phase 1, 2, 3 trials already completed. We think it's the fastest adoption cycle we've ever seen in pharma, biotech. And we now have over 550 third-party, peer-reviewed publications. All of that is further fueling from a metric-leader standpoint, the longer-term value creation. We have a strong razor/razorblade model, which gives us great visibility to our growth. And, we also feel like we've attracted an incredible management team and team overall, that are some of the best in the industry that have a lot of experience in creating value, but creating growth for value.  So, we appreciate your support and look forward to further discussions in the future. Thank you.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This concludes the program. You may now disconnect. Everyone have a great day.